Operator: Please standby. Good afternoon. And welcome to the Fluor Corporation’s Second Quarter 2010 Conference Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. The question-and-answer session will follow management’s presentation. A replay of today’s conference call will be available at approximately 8.30 PM Eastern Time today, accessible on Fluor’s website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8.30 PM Eastern Time on August 1st at the following telephone number, 888-203-1112. The passcode of 6080434 will be required. At this time for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead, Mr. Lockwood.
Ken Lockwood: Thank you, Operator. And welcome everyone to Fluor’s second quarter 2010 conference call. With us today in the room with me are Alan Boeckmann, Fluor’s Chairman and CEO; David Seaton, Fluor’s Chief Operating Officer; and Mike Steuert, Fluor’s Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed. Our 10-Q will be available tomorrow, July 27th. We have posted a slide presentation on our website, which we will reference while making prepared remarks today. Before getting started, I’d like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on slide two of the presentation. During today’s call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information, and there is inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10-K, which was filed on February 25, 2010. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are posted in the Investor Relations section of our website at investor.fluor.com. With that, I will turn the call over to Alan Boeckmann, our Chairman and CEO.
Alan Boeckmann: Thank you, Ken. Good afternoon, everybody, and I’d like to thank you for joining us today. We’re going to be reviewing our results for the second quarter and providing an update on our outlook for 2010. I’d like to start by looking at some of our second quarter financial highlights and I’m going to refer you to slide three. Net earnings attributable to Fluor for the second quarter were $157 million or $0.87 per diluted share. Now these results reflect solid profitability across our portfolio, but it’s noteworthy that year-over-year increases in the Industrial & Infrastructure, Power and Global Service segments did -- were offset by a continuing decline in revenue and earnings for Oil & Gas. Moving to slide four, second quarter new awards were a record $9.3 billion and it’s important to note that this surpassed our previous corporate record of $8.8 billion, which was achieved in the third quarter of 2008, and it’s certainly well above the recent quarterly run rate of approximately $3 billion. The majority of these awards received during the quarter were from our Mining business line in the Industrial & Infrastructure segment and as we anticipated, our backlog increased in the quarter, rising to $30.2 billion, which is a $4.5 billion increase over the last quarter. I’d like to take this time to point out what I think is an important facts that drives Fluor Corporation and that is our diversity. I think our large Mining awards this quarter are yet another reminder that this strategy of diversity continues to set us apart from all others in the engineering and construction peer group. Whether you look at our business from an industry or a geographic perspective, we are the leader in a number of important markets. We’ve obviously had broad success in Oil & Gas for many years but now we’ve ramped up our Mining business to unprecedented levels and we’ve done also very well in growing our Government and Infrastructure businesses. And while power is slow right now, yet we believe it will absolutely cycle up again at some point. We know that many investors are solely focused on energy markets but Fluor is much more diversified than that. Our backlog at the end of this quarter is now 72% outside the United States and this speaks volumes about our global reach. When you add the strength of our balance sheet and our strong double-digit returns, we believe that we offer best-in-class industry performance. I’d now like to turn the phone over to David Seaton, Fluor’s Chief Operating Officer, who will provide a brief update on the markets in each of our segments. David?
David Seaton: Thanks, Alan, and good afternoon. If you turn to slide five, I’ll start with Oil & Gas. Our Oil & Gas group continues to make progress in upstream, with small incremental awards on a multi-billion oil sands program and an award for project management services on the Shah Gas program in Abu Dhabi. During the quarter, we also announced that we were selected by Santos for the Gladstone LNG project in Australia and booked the early works portion of that project in the quarter, with full EPC expected later in this year or early into next year. We continue to see steady flow of upstream FEED work, including some promising projects in Iraq, which we see as a very positive sign. All in all, we see the potential for sizable Oil & Gas awards as we move through the remainder of this year. Shifting to our Power market, we are pleased that we’ve completed all the performance testing and commissioning of Unit 2 at Oak Grove, the coal-fired project for Luminant in the second quarter. This marks the completion of a tremendously successful project. As you may know, the EPA recently proposed more stringent emission guidelines for the reduction of sulfur dioxide and nitrous oxide. If passed, it would provide additional scrubber and plant betterment opportunities to meet the 2014 deadlines and may lead to replacement of certain older coal-fired power facilities and gas-fired plants, which plays well into our capabilities. Earlier today, we issued a press release announcing that Tenaska has chosen Fluor’s Econamine FG Plus Carbon Capture Technology for the proposed Trailblazer Energy Center in Texas. Trailblazer will be a pioneering 600 megawatt electricity generating plant fueled by pulverized coal and is expected to be the first in Texas when permitted in 2011. It will capture 85% to 90% of the carbon dioxide byproduct. As a project EPC contractor, we are currently performing Tenaska’s initial design and engineering work for the project. This project represents an innovative environmental breakthrough in clean energy production that will have positive implications worldwide. Turning to slide six, Industrial & Infrastructure had a record setting quarter with over $7 billion in Mining awards. We’re extremely pleased with our major wins in multiple parts of the Ma’aden project in Saudi Arabia, which is valued at approximately $3 billion. In Chile, we were awarded a large copper project valued at $1.4 billion, in Australia, we won a gold and copper project worth $1 billion and in Mongolia we received a $1 billion order for the construction phase of Ivanhoe project. This is an amazing achievement for a single quarter and we’re very proud of our world-class mining and metals team, and all that they’ve accomplished. While we don’t anticipate another quarter of this magnitude, we expect capital investment in the Mining sector to continue. In Infrastructure, our consortium was selected as the preferred bidder for the Denver FasTracks light rail project between the Denver International Airport and downtown Denver. We’re excited about this project and expect to book this award in the backlog of this year, once financial closing occurs. We continue to focus on road and rail opportunities in North America and Europe, and are seeing increased interest in this P3 model for major programs in the infrastructure market. As typical with most P3 deals, we will be making a modest equity investment in the FasTrack project. Moving to Government segment on slide seven, this group had another strong quarter with $542 million in LOGCAP IV task order awards in Afghanistan. The transition is complete for the Northern Afghanistan portion of this work, which Fluor was awarded and that was completed in late June. We also continue to perform services under separate task orders in Iraq. On the DOE side, our work at Savannah River continues, which includes the American Recovery and Reinvestment Act funding and both are progressing quite well. On global services, the market for discretionary maintenance services and small-cap activities continues to track the overall economic conditions. It appears that revenue in this group has bottomed and we expect the current demand levels to be maintained for the near future. Alan, that’s a quick recap. Mike, I’d like to turn it over to you so that you can review the segment operating performance.
Mike Steuert: Thank you, David. Good afternoon. First, let’s start by going over a brief recap of the results for each operating segment. Please turn to slide eight in your presentation. Fluor’s Oil & Gas business unit reported a segment profit of $98 million for the quarter, which, as expected, is down from the $181 million, we recorded in the second quarter of 2009. Revenue for the quarter was $1.8 billion. New awards for this segment totaled $1 billion, driven by international upstream awards. Ending backlog was $10.2 billion, a reduction of about $700 million from last quarter, as work performed exceeded new awards. Moving on to slide number nine, Fluor’s Industrial & Infrastructure group reported segment profit of $48 million. This is up 42% from the second quarter of 2009 and is supported by the strong growth we’re seeing in the mining and metals business line. Revenue for the segment also improved, rising over 80% from last year’s $1.8 billion. New awards of $7.2 billion in the quarter contributed to a sequential increase in backlog to $16.1 billion, which is a 65% improvement over last year. To update you on our accounting position on the Greater Gabbard Project, our claim revenue position totaling $202 million -- totaled $202 million as of the end of the second quarter. The Government group posted a segment profit of $35 million, up from last year’s $34 million, which included $15 million from a project settlement. Contributions from the LOGCAP IV and Savannah River contracts continued to drive results for this segment. Revenue for the quarter was up 62% to $777 million. New awards for the quarter were $638 million and backlog at the end of the quarter was $635 million, which is down from the $974 million a year ago, due to project execution and burn related to the American Recovery and Reinvestment Act work at the Savannah River site. Turning on to slide number 10, segment profit from Global Services was $32 million in the quarter, up from $26 million a year ago, reflecting higher margins in the Equipment Services business line and higher contributions from the Operations and Maintenance business line, primarily in support of the Gulf Coast oil spill. Revenue for the quarter was $327 million, on par with the $341 million in the second quarter of last year. New awards were $359 million, which compares with $371 million last year. Backlog was $2.1 billion, a $300 million improvement over a year ago. Fluor’s Power segment reported a 41% increase in segment profit to $50 million in the quarter, mainly due to the recognition of additional fees relating to the successful completion of a large coal-fired power plant and substantial progress in several other projects in the segment. Segment revenue was $469 million, which was up 5% from last year. New awards for the quarter were $82 million and backlog was $1.1 billion at the end of the quarter. The Power segment’s positive results in the quarter were also impacted by a $51 million provision, with estimated additional costs complete a gas-fired power plant in Georgia. This adds to a $12 million charge that was recognized in the first quarter. There were a number of factors that contributed to this result, including weather-related schedule delays, higher material quantities and costs, higher labor costs due to lower-than-expected productivity and higher subcontractor costs. We are currently in discussions regarding several major change notices with the client. As Alan mentioned, Fluor’s consolidated backlog was $30.2 billion, up from $25.7 billion last quarter. The percentage of fixed price backlog now stands at 29% with 28% of total backlog in the U.S. and 72% of the backlog outside of the U.S. Now, let me move on to slide number 12 and cover a few corporate items. G&A expense in the quarter was $28 million, which compares favorably to $42 million last year. The decrease was driven by a number of moving parts but was primarily the result of lower compensation expenses. As a result, the overall run rate to date we are advising our full-year outlook for G&A expense down to a range of 160 to $180 million. The effective tax rate in the quarter was also a favorable 31%, which was down from 34% last quarter, mainly due to a positive state tax audit settlement in the current period. We do expect the effective tax rate to continue to average about 34% for the full year. Switching to the balance sheet, consolidated cash from marketable securities was $2.1 billion, which compares with $2.3 billion last quarter. The modest reduction in consolidated cash is mainly due to an increase in working capital in the Government and IAI segments, both of which are experiencing substantial growth in their businesses. Capital expenditures for the quarter were $75 million compared with $68 million last year. And as we said on numerous quarterly calls, Fluor’s financial position remains very strong. Finally, let me conclude my comments by talking about our outlook, which is shown on slide 12. Given the strength of the results in the second quarter, the company is now raising the lower end of its 2010 EPS guidance and narrowing the range to a range of $2.90 to $3.20 per share from a previous range of $2.80 to $3.20 per share. With that, Operator, we’d like to expand now and take some questions.
Operator: (Operator Instructions) We’ll take our first question from Steven Fisher with UBS.
Steven Fisher – UBS: Hi. Good afternoon. Alan, the Government margins tick down a little bit in the quarter. I’m wondering, if you can just talk about how you’re booking the margins and fees on LOGCAP. What you’re accruing? How often do award fee Boards meet, that kind of stuff?
Alan Boeckmann: Typically, we work on task orders there. And there is a -- at the end of the task order, there is a judgment made by the client on our performance that can affect our margins. But I don’t believe that was really a driver of the lower margins in this particular quarter. I think it was just a timing issue with respect to revenue recognition.
Mike Steuert: Right. Revenue recognition and as you mentioned, we do get award fees on a periodic basis. There is a lag effect there. It’s also a shift in some of our mix in the segment where you’re seeing a higher proportion of LOGCAP activity compared to the DOE work in Savannah River.
Steven Fisher – UBS: Okay. So it sounds like as that mix may sustain at this level but with a lower margin rate is more appropriate going forward.
Mike Steuert: Well, we can certainly see that bounce back in the future as we see some more award fees comes down the road. But we’ll just have to wait and see how the award fees translate into operating profit.
Steven Fisher – UBS: Okay. And you mentioned the potential for continued strong awards in the second half. I guess I’m wondering what the confidence level around those awards are, relative to the confidence that you had with the second quarter?
Alan Boeckmann: I think it’s -- the confidence level is the same. We’re fortunate to have a very strong line of sight on projects where we’ve been involved with them from their beginning and concept into award. A number of the awards that we’re looking at coming into our backlog in Q3 and Q4 are ones that we’re already participating on. David mentioned Santos, where we got the nod on that and we’re doing the front-end activities. That will be a Q4 or maybe Q1 award. So that’s another one. We have another strong project where we’re already involved in Canada. It will be a very, very large award in the upcoming quarters. So, a good visibility. I’m very positive about the fact we’ll be able to continue to build backlog through the end of the year.
Steven Fisher – UBS: Okay. Great. Thanks a lot.
Operator: We’ll go next to Michael Dudas with Jefferies.
Michael Dudas – Jefferies: Good afternoon, everybody.
Alan Boeckmann: Hi, Mike.
Mike Steuert: Hey, Mike.
Michael Dudas – Jefferies: You’ve mentioned in prior calls, your ability to keep the investment in the professionals at Fluor. Could you talk a little bit about where your headcount is relative to your current build and the future expectation built in backlog? Will we start to see more accelerating in hiring? Are you starting to see that now? Are some of the utilization in your offices starting to pick up to a level where you could maybe get a little bit better operating leverage margins at a bottom line?
David Seaton: Michael, I’ll try that one. We stand at about 45,000 employees, which I think we’ve sort of bottomed in most of the offices. I think that we’re not going to see the kind of hiring that we’ve seen in the past, but I think we’ve got an opportunity to add some headcount over the last part of the year into 2011. I think that from a talent standpoint, we still stand very strong in the overall project management and certainly in the process industries. But I think as Alan mentioned, I think one of the more bright spots that I see is our ability to attract the kind of talent we need globally. With 72% of our backlog outside the United States now, we’re really relying on more of a global workforce, which, frankly, just is a much larger sample for us. So, it’s really – I see it as a positive sign for the remainder part of this year and into next year.
Michael Dudas – Jefferies: Maybe following up on that, David, how are you assessing your ability to expand and generate opportunities in Latin America? Certainly, you’re doing it on the mining side, but a lot of energy, a lot of investment that’s going to be, say, in Brazil. What are your thoughts on how best to attack that market, being your large global platform and your competitiveness?
David Seaton: I think that there’s quite a bit of opportunities in Latin America. As you mentioned, it’s pretty broad-based. I think there’s also infrastructure types of programs in Latin America that we have the expertise to go and do. I think the key for us is maintaining our selectivity and finding the exact right projects for us that we know we can be successful in executing. I think Brazil offers a great opportunity for us and looking for the right opportunities and the right partners, frankly, is kind of where we’re putting our focus.
Michael Dudas – Jefferies: And will we see maybe some fruits of that in the next six to 12 months?
David Seaton: I think that’s a fair horizon. I think sometime in middle of next year is when we’ll start to see those things come to fruition.
Michael Dudas – Jefferies: My final question is regarding, Trailblazer. It looks like we may have another coal-fired plant built in the United States, which may shock a few people. Was the technology very competitive in what the client was looking for? And what other type of opportunities worldwide could this technology bring? And would the type of projects be the $3 billion-plus EPC work that this project could bring to Fluor?
Alan Boeckmann: Well, Mike, that project is extremely strategic. As you know, there’s not been a coal-fired plant permitted in the U.S. in a few years. This client is betting that by using carbon capture and also some other very stringent environmental controls, that they’ll be able to get their permit. And I think they’re right. This will be groundbreaking in terms of cutting loose to be able to use additional projects with this technology. These projects themselves are going to be very large. They’re going to be in the $1.5 billion to $2 billion size or more. And so it’s quite an enabler. The competition for the technology was stiff competition. There was, I think, five different technologies that were looked at and ours was selected. This selection was done by the client. We assembled the information obviously, for our technology. But it was a great win above and beyond the win we already had for the project itself.
Michael Dudas – Jefferies: I appreciate the color. Thank you, gentlemen.
Operator: We’ll go next to Graham Mattison with Lazard Capital Markets.
Graham Mattison – Lazard Capital Markets: Hi. Good afternoon, guys.
Alan Boeckmann: Hi, Graham.
Graham Mattison – Lazard Capital Markets: I was wondering, just staying on the Power side, you talk a little bit about the plant betterment opportunities with the new regulations. When do you think you might start to see a pickup in that area?
Alan Boeckmann: Well, that’s been a pretty strong and brisk market for us for the last several years. We are pursuing opportunities as we speak. There was a time of uncertainty, as you well know, in waiting to see if there was going to be a climate bill. Now I think with the EPA making the moves they’ve made from a regulatory standpoint, I think we’re now going to start to see some investment cut loose in that area.
Graham Mattison – Lazard Capital Markets: So potentially, this could start to contribute in the second half of this year?
Alan Boeckmann: I think there will be some awards, probably more towards the end of the year but certainly into 2011.
Graham Mattison – Lazard Capital Markets: Got you. Great. And then on Global Services, you mentioned in the slide deck that that market’s still a bit weak. What’s your sort of outlook and thinking on that? I mean, was this something that could turn around the later part of this year, or is it more like a 2011-12 recovery there?
Alan Boeckmann: This has been an ongoing issue now for almost six to seven quarters. We just see clients continually cutting back on what I will call their discretionary small capital programs. And it has to do absolutely and again, the block of that business for us is in the United States and that’s where we’re seeing the uncertainty and the scaling back. Obviously, that business has been helped by our efforts on the Gulf cleanup. That’s in our Global Services business, where that work is being performed. But the basic load of the -- base load of the business is still pretty slow compared to where it would have been two years ago. I’m hopeful that once we maybe even get through an election cycle and there’s some certainty around what’s going to happen legislatively, regulatory-wise that we’re able to see a pickup in that market.
Graham Mattison – Lazard Capital Markets: All right. Great. Thank you for the color. I’ll jump back in queue.
Operator: We’ll go next to Andrew Kaplowitz with Barclays Capital.
Andrew Kaplowitz – Barclays Capital: Good evening, guys.
Alan Boeckmann: Good evening.
Andrew Kaplowitz – Barclays Capital: So, David or Alan, the quarter itself in Oil & Gas in terms of margins was actually quite good, I thought, compared to the first quarter. Sales were down and I know we don’t want to overly focus on the quarterly fluctuations, but that’s what we have in front of us. I thought kind of 1Q was more an anomaly around the 4.3% margins and then obviously went up to mid-5’s here. Is it because we’ve gotten sort of utilization issues under control? Is it because FEED is starting to ramp up and those are higher margin projects? How do we think about the two quarters and the major differences in margins?
Alan Boeckmann: I think all of that. I think that we’ve certainly seen the inflection point. I think that the services revenue is certainly up and I think that that unit has done an extremely good job of right-sizing the organization. But in the same tense, maintaining the investment and the key focus that we need to be successful going forward. And that, I think, is part of what was reflected last quarter. But I’m quite pleased with how that group has been performing and the prospects for the future.
Mike Steuert: Andy, I think it is fair to say that those margins will be lumpy as we go throughout the rest of this year. And as David said, last quarter we continued to invest in keeping a bench and we’re still doing that as well as we go forward throughout this year. So we have the resources to support the kind of growing backlog we expect.
Andrew Kaplowitz – Barclays Capital: That’s totally fair, guys. Is Q2 more representative of what we should expect from Fluor margins? Or is it somewhere in the middle of 1Q and 2Q? Like, how – It’s just I’m trying to think about how to think about it going forward.
Mike Steuert: Those are probably a couple of good bookends, Andy.
Andrew Kaplowitz – Barclays Capital: Okay. That’s fair. Let me shift gears for a second, just going back to previous question on sort of confidence for the second half. David, for better or worse, you were sort of quoted on one of the headlines around potentially having record backlog this year led by Oil & Gas. And we couldn’t help but take a double-take by that comment. I guess I would just ask you the condition level and we know what your backlog high was in the past. Is that within reach this year?
David Seaton: I think that there’s certainly upside to the $30 million that we sit out at today. I think the records that we were talking about was the overall Corporation not specifically one of the…
Andrew Kaplowitz – Barclays Capital: Right. The $36 billion, correct?
David Seaton: There is a chance that we could perform at that level. But as we’ve said in the past, I mean, this business is lumpy and if a project of any significance pushes from Q4 to Q1, then that’s going to move. I think the important issue that I see is there’s good momentum in each of the businesses aside from Global Services for growth. And we’re going to continue to push that, but it’s, unfortunately, customers’ decisions and timing is something that can move things around for us. But I’m very bullish on where we are.
Alan Boeckmann: Andy, just to maybe put a little more color on it. We can -- we’re going to have revenue for the remainder of the year that’s going to be pretty equivalent to what we just saw in Q2. So we’ve got to book more than $5 billion in each quarter just to build backlog. I’m convinced we’ll be able to build backlog that was my earlier statement. So you can just use that as kind of a benchmark, if you would. But I don’t -- there’s no way that by the end of 2010, we’ll be at our previous backlog high. That would mean that we’d have to book at least as good if not better than what we just did in Q2 and each of the quarters. So, just, as you do the math, we won’t be at the record but we’re going to continue to build it each quarter as we go through the year.
Andrew Kaplowitz – Barclays Capital: That’s helpful, Alan. Just real quickly follow-up there. Customer confidence in the quarter, obviously, was kind of a topsy-turvy quarter on the macro, but, I mean it’s, Fluor has always struck me as a slower moving ship, is that fair, customers going to get cold feet on any big projects in the quarter?
Alan Boeckmann: No. Not that I’m aware of. No. We’re actually seeing things move forward. The things that we’d predicted and some have moved forward in fact have happened and others appear to be on course.
Andrew Kaplowitz – Barclays Capital: Thank you.
Operator: We’ll go next to John Rogers with D.A. Davidson.
John Rogers – D.A. Davidson: Hi. Good afternoon.
Alan Boeckmann: Hi, John. Good afternoon.
John Rogers – D.A. Davidson: I guess, Alan, just following up on Andy’s questions, comments, the very large bookings that you had this quarter, how much of these projects were deferred projects that maybe people got or a little bit of cold feet or were reluctant on in the past, and/or is this a new wave of spending that we’re seeing coming up now?
Alan Boeckmann: Well, John, $7 billion of the $9 something was Mining.
John Rogers – D.A. Davidson: Yeah.
Alan Boeckmann: And so, if you look at those, there may have been a quarter delay in those and maybe one or more of those projects, but it wasn’t put off from a previous cycle or canceled, or postponed from a year ago. So they’ve been pretty much on track. A quarter slippage in our business is not unusual on these very, very large projects. So I would say these were pretty much due to the current market and particularly in the extractive industry, the strength of these companies and the resources that they have.
John Rogers – D.A. Davidson: But, okay. Didn’t you or someone indicated in the comments that, I mean, we won’t see the same sort of bookings in the Mining business going forward, which seems, I mean, logical to me. But, I guess, I’m wondering about the other sectors as well, I mean, is there pent-up demand here and how do we or how do I think about that relative to what you said about the delays and kind of maintenance type capital spending?
Alan Boeckmann: Well, this was truly unique.
John Rogers – D.A. Davidson: Yeah.
Alan Boeckmann: I mean, the $7 billion award strictly in mining would have been the second largest ever by the whole Corporation. So no unit has ever had that kind of performance in one quarter. So it is a truly outstanding performance. So there’s no way we can expect them to repeat that. They’ll probably be writing that down as I say this. But the fact is that the performance that we’re going to see for the remaining two quarters is going to come largely from the other -- some of the other business units. Doesn’t mean mining won’t have some good stuff in there but we’re going to see larger awards in Oil & Gas, and Infrastructure and Government, just to name those three.
John Rogers – D.A. Davidson: Okay. And lastly, just in terms of the margins in the Industrial & Infrastructure segment as you combine. As this backlog increases, do you have an opportunity to increase margins there or is there enough procurement things, lower margin?
Alan Boeckmann: You know, we’ve mentioned this before. Industrial & Infrastructure probably has our widest spectrum of margins…
John Rogers – D.A. Davidson: Yeah.
Alan Boeckmann: … of any business, but the mining is one of the lower of those. Because of the business model, because of the amount of pass-through revenues that hit our books on those projects, it just tends to be a lower revenue margin…
John Rogers – D.A. Davidson: Lower margin.
Alan Boeckmann: … than our normal book.
John Rogers – D.A. Davidson: Okay. All right. Thank you.
Alan Boeckmann: You bet. Thank you.
Operator: We’ll go next to Scott Levine with JP Morgan.
Scott Levine – JP Morgan: Good afternoon, guys.
Alan Boeckmann: Hi, Scott.
Scott Levine – JP Morgan: With regard to the work that you expect to book for the balance of the year, would it be, I don’t know if it’d be too getting -- I don’t know if we’re getting ahead of ourselves by asking. But what margin expectations would you have there relative to the work you booked, say, in the ‘07, ‘08 timeframe?
Alan Boeckmann: Well, ‘07, ‘08 timeframe was a unique market for this industry because of the overall supply and demand. It saw record levels of demand by quite a number of industries. So I don’t think we would expect that it would be at those same levels. We have seen it contract since then. But again, being as diversified as we are, which was the earlier point I made, it depends on a quarter what the mix is, as to what our margin capture is because it differs from business-to-business. So we continue to use the word lumpy for a lot of our results, but that’s basically the nature of our business.
Scott Levine – JP Morgan: Got it. And could you talk maybe a little bit in terms of the bookings to date, what’s the win rate then versus, say, your initial expectations when you unveiled initial 2010 guidance last November? Have you done better, worse or in line with expectations internally?
Alan Boeckmann: I would say it’s generally in line with what were high expectations.
Scott Levine – JP Morgan: Okay.
Alan Boeckmann: We -- our selectivity process is such that we really do focus on the project where we believe we bring value and have a competitive advantage and again, our Mining group here I’m going to come back and give them another accolade there. They have really cleaned the board, I mean, they -- everything that they’ve gone after, they’ve been able to capture because of the value proposition they bring.
Scott Levine – JP Morgan: Understood. One follow-up on Power. I think you were asked earlier about the new EPA regs. It sounds like cap and trades off the table and they’re looking at a slimmer energy bill. What thoughts do you have in terms of the power builds and the implications of uncertainty around carbon and/or maybe broadly speaking, the pace of new build award activity in the Power business this year and into next?
Alan Boeckmann: I don’t think it’s going to be risk, I think it’s going to be more deliberate, it’s going to be where there is a need and more driven by the regulated utilities.
Scott Levine – JP Morgan: Great. Thank you.
Alan Boeckmann: But it’s going to be fairly low compared to what it had been in the last three or four years.
Scott Levine – JP Morgan: Understood. Thanks.
Operator: We’ll go next to Will Gabrielski with Gleacher.
Will Gabrielski – Gleacher: Thank you. Good afternoon, guys.
Alan Boeckmann: Hi, Will.
Will Gabrielski – Gleacher: A couple of follow-ups, I guess, at this point. I don’t know if you can give any specific color, but when do you think Oil & Gas backlog efficient -- based on the visibility you have today? Do you feel comfortable we’ll see that in the second half of the year?
David Seaton: I’m sorry, what?
Will Gabrielski – Gleacher: The Oil & Gas backlog number, do you think that bottoms in the second half of the year based on the visibility you have right now?
David Seaton: Yeah. I think we’ve just about seen the bottom now.
Will Gabrielski – Gleacher: Okay. And then in terms of your comment that obviously mining we won’t see as strong in the second half maybe that’s a good thing from an investment standpoint for margins going forward. Specifically, do you see a big Power award in the back half or is this going to be mostly Oil & Gas and Government?
David Seaton: I’d say mostly Oil & Gas and Government. We’ll see some early study awards in Power and some minor betterment work. But I think the technology play on Tenaska is key to our future.
Will Gabrielski – Gleacher: What are the burn rates going to be like on some of these Mining projects, any material shift from what the burn rates have been historically in that segment?
Alan Boeckmann: No. They’re typically fairly long projects, fairly in line with major capital projects in Oil & Gas.
Will Gabrielski – Gleacher: Okay. And then next on LNG, I’m wondering, outside of Santos, what does the pipeline look like for you? Is there anything in particular you can point to or any expectations for any equivalent size projects within that market over the next 12 or 18 months?
David Seaton: Probably not in the size of Santos, we continue to look at those types of projects and are doing some study work. But as far as a major EPC award, I don’t see one in the last half of the year other than Santos.
Alan Boeckmann: I wouldn’t rule them out as we get further into 2011. They would be later in the year.
Will Gabrielski – Gleacher: Can you just comment really quickly, what percentage of the Georgia Power project is complete at this point?
David Seaton: We stand at about 45% complete.
Will Gabrielski – Gleacher: Got you. So, is this, I mean, when these things are 45% complete and already having schedule problems, is this something we’re going to have to worry about in your opinion based on the run rate today of what you’re looking at or do you feel like you’ve resolved some of these problems at this point?
David Seaton: I think we’ve resolved it to date. I mean the main issues are around schedule acceleration requested by the customer and weather delays. And as we’ve stated, Mike stated, we are – there’s some change orders pending that we’re going to pursue.
Will Gabrielski – Gleacher: Okay. Lastly on Gabbard, that number, I guess, we’ll just continue to track it, but how is the conversation, the back-and-forth through arbitration been?
Alan Boeckmann: Actually, we remain with strong relations with this client. We’re, in fact, involved in other pursuits with them. We are going through discussions on the technical merits of the claim. And there’s a very strong likelihood that we will go into an accelerated adjudication.
Will Gabrielski – Gleacher: Okay. I look forward to it. Thanks, guys.
Operator: We’ll go next to Brian Uhlmer with Pritchard Capital.
Brian Uhlmer – Pritchard Capital: Hey, good afternoon.
Alan Boeckmann: Brian, good afternoon.
Brian Uhlmer – Pritchard Capital: Just a couple questions, really kind of industry outlook. When we look at the Oil & Gas, what do you think is kind of the best market out there, whether it’s upstream, Petrochem or refining, what is your view on what’s the market’s going to be first to turn?
David Seaton: Well, I think upstream has continued to spend. I don’t think there’s necessarily been an up or a down in that market. We shifted most of our resources that were coming down off of the downstream work, the significant backlog that we completed over the last few years. So I would say upstream will continue to be a robust market. And we’ve got a fair amount of visibility into that and a fair amount of opportunities. Downstream is shifting from North America to Asia and in some degree, Russia, Petrochemicals is reasonably flat. We’re still tracking projects in China and in the Middle East, but the ethylene market is as lumpy as our business. But we still maintain that capability. So I’d put them in that order of importance right now.
Brian Uhlmer – Pritchard Capital: Okay. And when you look out at the competitive landscape, how do you view whether or not the competition is getting more aggressive at pricing or more aggressive at winning the work that you’re going after? Or how do you view yourselves right now in the kind of a competitive outlook?
David Seaton: Well, I think it’s interesting because I think the competition has always been pretty sharp, even when you go back into the ‘07, ‘08 days. It wasn’t a very easy market to deal with then. I think that pricing has come down. The competition is more fierce in certain areas. But again, as Alan has said, we look at projects where we bring a competitive advantage. We’re very selective in what we do. And that narrows that competition that we face. And I feel very good about our position in those markets in Oil & Gas, regardless of what the market is – upstream, downstream, or chemicals or what the geographic reach is. And also to play on part of what Alan said, I think that diversity, not only of market but also of geography, really plays well for us in being able to deploy for those major projects anywhere in the world in the Oil & Gas sector as well as any of the other markets that we serve.
Alan Boeckmann: I think we had a very strategic award in this quarter with the Shaw Gas program management. As you know, when we lost the Habshan project about a year ago, that was one of the first projects of that magnitude not to use a program management approach. It was clear to us after that bid that they were going to need a program manager for any kind of a project of that magnitude. They’ve certainly gone back to that model and we were selected as program manager. So these very large projects with a lot of tremendous logistics and technical challenges really does limit the competition for us because, again, of our capabilities and size.
Brian Uhlmer – Pritchard Capital: Good deal. And one unrelated follow-up is, sitting here trying to read through this HR 3534 Bill and trying to determine what, if any, impact this could have on the work that you already won out of Alabama and the cleanup and those efforts. And what your view is on whether or not you can expand that work a little bit or dramatically or what your thoughts are?
David Seaton: Well, I think, we’re very pleased to be part of the cleanup effort and restoring the Gulf to its previous habitat. I think that we’re supporting BP from the standpoint of the onshore cleanup, as well as focusing on the logistics centers that they have around the Gulf. I think we’ve added somewhere in the neighborhood of 5400, 5,500 people. I think there’s currently about 3,500 people active with the cleanup. I don’t see that dramatically increasing significantly because they’ve capped – At least the indications are they’ve capped the well and they’re close to the relief well. So I think it will continue at that level until we’re finished.
Brian Uhlmer – Pritchard Capital: All right. Thank you. I’ll turn it back over.
Operator: We’ll go next to Joe Ritchie with Goldman Sachs.
Joe Ritchie – Goldman Sachs: Good afternoon, everyone.
Alan Boeckmann: Hi, Joe.
Joe Ritchie – Goldman Sachs: Just a quick question on the awards, not to beat a dead horse but did you pull forward any projects from the second half of the year into this number in second quarter?
David Seaton: No.
Alan Boeckmann: No. We had one move from second quarter to third quarter but would’ve been in double digits.
Joe Ritchie – Goldman Sachs: Okay. Wow. And was that in the Mining sector or was that in Oil & Gas project?
Alan Boeckmann: It was Oil & Gas.
Joe Ritchie – Goldman Sachs: Oil & Gas. Okay. Great. You may have mentioned earlier that you’d expect your revenue run-rate for the rest of the year to be comparable to this quarter. That would lead me to believe then that you’re not going to really see your revenues start to accelerate until next year. So I’m trying to understand how I should be really thinking about the acceleration of revenue next year, given the huge award quarter that you had this quarter.
Alan Boeckmann: We’ll see. What I said in the similar area, I mean, I’m giving you a plus or minus 10% or 20%. It will go up a little bit during the year, but the real ramp-up for these projects does really get into 2011.
Joe Ritchie – Goldman Sachs: Okay. Okay. Great. And just one question on SG&A. I saw that your overhead was much lower than we anticipated for the quarter. What should we be thinking about? I think your guidance for the year was initially $180 million to $200 million?
Mike Steuert: Right. We revised that to $160 million to $180 million for the year.
Joe Ritchie – Goldman Sachs: Okay. I missed that. Okay. Great. And I guess one last question – In your Power business, your margins were quite healthy despite taking a charge on that Georgia gas-fired plant project. How should we be thinking about the trajectory of the margins going forward? And in particular, can you give us any color on the EBIT that you booked on the Oak Grove project this quarter?
Alan Boeckmann: Well, we’re not going to talk about individual project numbers but I would tell you that this was a very unique quarter. We had three major projects, with the Oak Grove being the largest completed in the quarter. And as you complete projects in this mode, lump sum projects, you’re able to release reserves that were held for risks and contingencies. And so that was an absolute benefit, notwithstanding the project in Georgia.
Joe Ritchie – Goldman Sachs: Okay. All right. Great. Thanks for answering my questions.
Operator: (Operator Instructions) We’ll go next to Peter Chang with Credit Suisse.
Peter Chang – Credit Suisse: Hi, guys. How’s it going?
Alan Boeckmann: Good.
Peter Chang – Credit Suisse: I just had a quick clarifying question. On the change orders that you got with the Georgia Power Plant, how confident are you that you are going to realize some of that? And is there estimate that you can put out there for timing?
Alan Boeckmann: No. There is no – We don’t have the ability to estimate that right now, just because of timing, to be honest with you, with our release. We’re in discussion with the clients as we speak. We’ll be able to address that as we get to the next quarter, I believe.
Mike Steuert: And we want to be clear. We have recognized none of that revenue in our outlook or in our results at all.
Peter Chang – Credit Suisse: Okay. And then switching gears over to the Global Services side, revenues were pretty stable with first quarter but operating margins really kind of picked up there. And knowing that these things can be lumpy, I mean, are these high single-digit operating margins pretty sustainable for the rest of the year?
Mike Steuert: You’re right. They are lumpy. They are kind of representative of how the business has performed over historical periods. And I think you’ll see fairly respectable margins for the second half of the year.
Alan Boeckmann: Well, candidly, we actually have reduced our rates for that because of this strategic importance. But it’s still -- it’s labor-only. So as a services-only thing, it does show a typically higher margin than if there was capital costs involved as well.
Peter Chang – Credit Suisse: Great. That’s all I had. Thanks. I’ll get back in queue.
Operator: We’ll go next to Barry Bannister with Stifel Nicolaus.
Barry Bannister – Stifel Nicolaus: Hello. When I look at the stock, it hasn’t really reacted very much to the 8-K describing these large orders. And the obvious reason is that because you booked so much I&I and it was mining, and had so much pass-through that you really didn’t book that much profit. Years and years ago, Fluor used to actually give profit in backlog as well as backlog, but I know you stopped. One of the things that I found interesting, though, is that if I look at I&I, the Q1 margin was 2.5, the Q2 was 2.7, the three-year, 12-quarter average is 3.2. Is there a chance here because you do offer a more complex value solution, that you can gravitate towards the three’s in the I&I operating margin as such?
Alan Boeckmann: Barry, again, it’s a mix issue. We have one business in that, which is typically one of our highest margin businesses and then we have mining, which is typically one of our lower margin businesses. So it very much is again, depends on the mix. I would say that we -- again, we’ve had an opportunity to be highly competitive in terms of our capability and we’d like to believe that that can turn into higher margins. But again, on the projects that large with so much pass-through, it’s difficult to say that we can raise it significantly.
David Seaton: And Barry, just to remind you, in recent quarters, our margins have been impacted by the Greater Gabbard work.
Alan Boeckmann: Correct.
David Seaton: We’re not recognizing any profit.
Alan Boeckmann: On a major revenue.
David Seaton: Plus with the new accounting rules, we have a large Mining joint venture who we recognize -- a lot -- all the revenue and a portion of the profits. So that kind of impacts our reported margins.
Barry Bannister – Stifel Nicolaus: Right. And then are the alleged weld defects slowing the rate of turbine installation from the original schedule at Greater Gabbard?
Alan Boeckmann: Quite contrary, we’ve had an outstanding schedule performance on that project.
David Seaton: Yeah. We’ve got 117 model piles roughly installed and 100 transition pieces and a number of turbines. So, we’re making great physical progress.
Barry Bannister – Stifel Nicolaus: Okay. Thanks a lot.
Operator: And we’ll go next to Chase Jacobson with Sterne, Agee.
Chase Jacobson – Sterne, Agee: Hi. How are you?
Alan Boeckmann: Good.
Chase Jacobson – Sterne, Agee: Just given your comments on the competitive environment, staying intense and your confidence in Oil & Gas backlog growing in the second half of the year. How much of that confidence or how much of what you’re winning is a function of just better demand in the market or what -- or the types of projects that you’re actually bidding on right now?
Alan Boeckmann: Well, David made a comment that I think was right on point. Upstream really has been fairly consistent but downstream -- the spending of capital projects in downstream has just really gone way down. And so the projects that we’re capturing right now are mainly -- they’re all in the upstream arena and it’s because of our ability and our position and our size and the technical capability we have that brings us to those projects.
David Seaton: And in many cases, the projects we’re talking about are ones we’ve been working on in some form or fashion for some time. So the timing is about what we expected, notwithstanding what Alan said about one project moving from Q2 to Q3 from an award standpoint. So we’re very confident in the projects that we’ve got in our sights right now.
Chase Jacobson – Sterne, Agee: Okay. And then on the P3’s, Fluor is one of the few U.S. E&C companies that we all follow that seems to be really want to be involved in the P3’s. How far are you willing to take your investments into some of these projects and is this something that you look to do more internationally where the source of funding is more widely accepted? And what are the opportunities that you see in the U.S. going forward?
Alan Boeckmann: We’ve used this model on a global basis, quite frankly. We’ve used it in Europe before and in the U.S. It’s going to be one of the areas that we use our balance sheet to take position on projects that have a strong business case in their own right. We don’t invest in a project just to get the EPC. It’s a separate evaluation that’s done but often it’s -- we’ve been selective on what projects we go after in any case, so that the two do match up. We think this is a significant opportunity for us. It’s a model that we’ve been using now for over 10 years. It’s one we know well and we’ve got a great capability for both the deal-making as well as the execution. So we’re very competitive in this arena.
David Seaton: And we do see a reasonable prospect list here in the U.S. as well as Canada and Europe.
Alan Boeckmann: Right.
Chase Jacobson – Sterne, Agee: Okay. And then although, I know you commented that, you don’t do the P3 just to get the EPC work, it does help. And is there a difference in the margin compared to maybe something that you’re doing for a public client because it is -- it would be more of a private entity?
Alan Boeckmann: Well, typically, the profit margin on that depends on a number of things. It depends on your skill at putting the business case together because often we are creating the business case for that locale. So it’s your skill at doing that but then it’s also your skill at the execution of what is a lump sum project that follows on from that.
David Seaton: And it opens up other profit avenues that we wouldn’t normally have just in an EPC project.
Alan Boeckmann: But it’s been one of our higher margin businesses for some time.
Chase Jacobson – Sterne, Agee: Okay. Thanks.
Operator: (Operator Instructions) We’ll go next to Will Gabrielski with Gleacher.
Will Gabrielski – Gleacher: Thank you. A quick follow-up. Now, that we’re getting closer to 2012 and we’re looking at your cash balance. I’m wondering what the -- if you have any idea what the working capital requirement will be for STP 3 and 4, assuming that proceeds on schedule?
Alan Boeckmann: Well, the fact of the matter is that on those type of projects, we typically work on advanced funding, so.
Will Gabrielski – Gleacher: Okay. So then when you look at your cash balance today and I know you guys are constantly reviewing this. But in terms of buybacks, any change in the priorities or maybe your comfort around doing something now that your backlog’s kind of swapped out?
Alan Boeckmann: Well, no -- that’s a very valid question. We still have targets of M&A for the usage of some of that cash. We also look to do buybacks to offset dilution or on -- and on an opportunistic basis, on the stock price. But we also, as we just mentioned a couple of questions ago, are looking to take equity positions in projects on the Infrastructure arena and in some cases, in the power arena as well.
Will Gabrielski – Gleacher: Okay. And then lastly, I guess, how’s the global JV going and what would you say maybe you’ve learned from that and has it helped you change your upstream strategy going forward or does it define it better?
David Seaton: I think it’s been quite an education. I mean, we have a lot of admiration for Global. The business model that we had intended, frankly, just didn’t work for our partner, for a lot of different reasons. I don’t think it changes at all our interest in that part of the market. And in fact, we will look actively for opportunities where Fluor and Global can work together but the business model that we had intended just didn’t work. So we’re moving on to the next approach.
Will Gabrielski – Gleacher: Okay. Can you go -- I’m sorry to push on this but I didn’t realize that there had already been a change in that structure or something to that effect that you’re saying right now. Can you go into a little more detail on that? And I’m sorry if I missed some sort of news release related to that.
Alan Boeckmann: I don’t think we released it. I think it’s just a circumstance where competing interests led us to not use the model that we were intending. I don’t think it’s of any major consequence. We are still very close to global. We’ll look for opportunities. It’s just that the formal approach for the EPIC is just not going to work.
Will Gabrielski – Gleacher: Okay. Great. Understood. Okay. Thanks. I’ll follow up.
Operator: And I would like to turn the call back over to Alan Boeckmann for any additional or closing remarks.
Alan Boeckmann: Thank you very much, Operator. And I thank you all for participating on the call this afternoon and for your insightful questions. As we’ve discussed today, I really want to stress that we, again, I think have demonstrated the power of our diversified business model. I’m extremely proud of our success at winning new work in what is still a difficult global environment. And I’m optimistic as we said, about the potential for strong new awards in the second half, especially in our Oil & Gas, Infrastructure and Mining businesses. We greatly appreciate your interest in Fluor and your confidence in our company. And I would like to wish you a good day.
Operator: And that does conclude today’s call. We thank you all for your participation.